Operator: Thank you very much for waiting. We would like to start SoftBank Corporation Investor Briefing for Earnings Results for the Fiscal Year Ended March 31, 2023. We would like to introduce today's attendees. SoftBank Corporation Board Director, Executive Vice President and CFO, Fujihara; Finance and Accounting Division Vice President, Naito; Strategic Finance Division Vice President, Akiyama. Today's briefing will be broadcast via the Internet. Now CFO, Fujihara, will give an overview of SoftBank's consolidated financial results. 
Kazuhiko Fujihara: This is Fujihara. Thank you very much for taking time out of your busy schedule today to attend. I would like to begin my presentation. Here is the summary. We would like to report on fiscal year 2022 consolidated results, followed by explanation on the medium-term management plan. Let me deep dive. 
 First, the results. Let's go through with the figures. This is the summary. Revenue, operating income, net income achieved a record high for the fifth consecutive year. So this fiscal year, on October 1, we consolidated PayPay. We recognized PayPay to remeasurement gain and joined as a consolidated results. First, revenue, JPY 5.912 trillion, and all segments increased in revenue. Full year forecast was JPY 5,900 trillion. So the progress was over 100%. So the result of adjusted EBITDA was minus JPY 175.4 billion, and the progress was 101.7% against the full year forecast, which I will explain by segment. 
 And next, operating income. Operating income due to remeasurement gain of PayPay consolidation increased at JPY 94.6 billion and recorded JPY 1.60 trillion. And compared to the revised forecast and looking at consumer, which decreased due mainly to price reduction, others contributed positively and remeasurement gain of PayPay consolidation of JPY 294.8 billion included in other. As I mentioned earlier, the figures compared to the full year forecast, let's go by the segment. So at the time of November, we disclosed at -- of JPY 1 trillion. And in the Q3, mainly for consumer and enterprise, we allocated funds as strategic investments, and we also landed as we had announced. 
 We are going -- we were able to cover the minus, and we were able to land as we expected. And now by the segment. First, Consumer segment. The revenue of Consumer segment as overall, JPY 0.4 billion and sales of goods and others, and others were covered by electricity. Look at the right-hand side of the comment. Sales of goods and others decreased by JPY 51.1 billion. This is due to decrease in units shipped. As for the electricity, revenue increased due to increase in average annual subscribers and transaction volume and the price in the electricity market. As for broadband, JPY 7.8 billion minus due to the continued campaigns. But in the fiscal '23, it will turn positive, which we expect. 
 And as for the mobile, due to the mobile price reduction impact was minus JPY 89 billion. Our forecast was JPY 90 billion. So it was as we had expected. And the subscriber increase and others was JPY 38.8 billion plus. And our actual figure was minus JPY 50.2 billion. But in the previous quarter, we announced regarding the customer acquisition measures, we changed. We directly returned to the customers. So therefore, we recorded revenue as minus, which was JPY 44.3 billion minus. As for the total of mobile, revenue was minus JPY 94.5 billion. This is by quarter. The left side shows in blue is the mobile revenue. And customer acquisition measures was added. And our actual figures is shown on the right side, in the dark blue. So you can see it's getting smaller and smaller. So mobile revenue is increasing. And fiscal '23 would be the bottom out and the turnaround moving forward. 
 And segment income. Profit decreased due mainly to mobile service price reduction and impact of customer acquisition measures. If we look at electricity, 153% increase, but a little bit down from the previous year. But business lines, it's been improving. Reduction of revenue, JPY 51 billion. For sales of goods and the cost of the goods, plus JPY 9.8 billion, mainly due to decreased shipment and also other factors. And for sales commission and sales, JPY 9.1 billion, which is around middle of the graph due to customer acquisition related cost increase, it was JPY 2.8 billion. For this fiscal year, it contributed to revenue. But we reduced advertisement, so net-net plus. And depreciation includes sunsets and other includes electricity. 
 Enterprise segment, profit increased due to double-digit growth in Business Solutions and Others revenue. Solutions, JPY 32.5 billion, which is a good contributor. By the quarter, it's been growing, and we want to expand further. On the right-hand side segment income, unfortunately, just a small increase, 5.2% year-on-year, mainly due to provision of litigation, which is a one-time factor. Excluding one-time factors, 9.5% increase year-on-year. We want to continue focus on growing Enterprise segment. Solution has a key, especially recurring revenue is very important. Growth of recurring revenue is double-digit and 12.6% year-on-year, and this should be a big contributor to the overall performance. 
 Yahoo line segment. Unfortunately, in the media, we had tough time and slowdown of growth was seen here. And on the right-hand side, there was a one-time factor last year gained from the sales. We worked on making commerce expenses more efficient. So we were able to manage positive number year-on-year. Not only defense, but also offense is something that you want to focus on in terms of the Yahoo Japan and line segment. Financial segment, revenue growing steadily. On the left-hand side, you see last year, PayPay was not consolidated. This year, in fiscal year '22, half year of PayPay performance was included. And I'll come back to the point in terms of KPI. 
 Segment income down by JPY 22 billion of PayPay due to subsidiary of PayPay and the reduction of last half of PayPay's performance. In PayPay card, cost acquisition. So all in all, JPY 22 billion impact was felt in segment income of PayPay. Distribution, which is enjoying great performance, both revenue and income, especially revenue. Net income, JPY 29 billion of remeasurement gain PayPay was included, but impact on net income was only JPY 195 billion. Unfortunately, financial loss compared to last year was JPY 100 billion. Of that, JPY 40 billion was a revaluation of gain of -- revaluation gain in the previous year. But this fiscal year, impairment loss and valuation loss were recorded, and provision for litigation was there and impairment loss of Demae-can and LINE Bank. Those are negative factors. 
 But in terms of equity method, we saw improvement, thanks to improvement of PayPay. For the last half, PayPay was still losing money. But now PayPay was consolidated, that impact was offset. CapEx, JPY 407 billion. At the beginning of the last fiscal year, we anticipated JPY 430 billion. We were able to make things more efficient. So next fiscal year, JPY 33 billion remain the same. Free cash flow, JPY 618 billion. Revaluation gain didn't create cash. In FY '22, we kept our dividends, so we focused on generating cash because our revaluation gain didn't create cash. And operating cash flow, up by JPY 22 billion. EBITDA was down, but we were able to decrease in income tax paid, so we managed to hit at positive number. 
 Investment cash flow, plus JPY 16.7 billion. So all in all, free cash flow in FY '22 was JPY 618 billion. If you take a look at the waterfall chart, operating cash flow, JPY 1.07 trillion, excluding Z and PayPay because they are not direct control of us and effect of securitization CapEx and growth investment were deducted. And if you look at the right-hand side, investment in PayPay has run its course in previous year, and there was no huge investment in Yahoo and LINE. So we landed adjusted free cash flow of JPY 618 billion, minus JPY 122.4 billion IFRS impact. Every year, this level is going out. And all in all, free cash flow after dividend was JPY 94.9 billion. 
 Going forward, excess free cash flow may be used for our future investment. Now net interest in bearing debt and net leverage ratio compared to the last fiscal year, JPY 0.09 trillion minus, and net leverage ratio is 2.5 and 2.4 -- 2.6 and 2.42 the previous quarter, and we are being stable. And next is the balance sheet, 15.2% in the total equity and JPY 1.5 trillion plus and 80% is the PayPay consolidation result. So this balance sheet due to the consolidation of PayPay, the figure shows larger. So next, operating data. First, mobile subscribers, 16.8 million. And we are increasing the number of subscribers steadily. About the churn rate, main subscriber a little reduced and smartphone up. 
 As for the quarter trend, steady increase in mobile subscriber net additions and main subscribers net additions increased and which minimized by the feature phone. So this shows a good business performance. And in terms of ARPU, JPY 3,780. ARPU is as of Q4 and which is minus JPY 200. Right bottom shows total ARPU. And last year Q4, JPY 280 and now to JPY 220 by quarter. By quarter, it's improving. As for annually, [ 2020 ]. The beginning of the fiscal year, JPY 270  and then landed at JPY 220 as a full year. The forecast it will -- should improve by JPY 50. So the business is actually stronger, but due to the discount ARPU, it's decreased in monthly discount due to penetration of unbundling plans. So therefore, there is an impact of JPY 40. 
 So that's why we can say the JPY 50 and then JPY 170 for the next year. As for broadband, grew steadily, as Yahoo Japan and Line, as for EC merchandise, transaction value slowed down. And advertising revenue growth showed decline. We were looking at the timing of the turning around of this. And as for PayPay going well, and we were able to increase MTU by 9.85 million. And MTU is growing, as you can see on the left side. And number of payments increased by 41.5%. So the frequency of usage of payment by PayPay is increasing. And as for GMV, PayPay standalone, JPY 2.5 trillion up and last year was JPY 2.1 trillion. So you can see the great increase and including the PayPay card, it exceeds JPY 10 trillion. 
 PayPay consolidated with PayPay Card is JPY 65.4 billion up and EBITDA improved, and this is for 12 months. So the business has grown. As President and CEO Miyakawa talked about in the presentation earlier about SB Payment Service and GMV increased and revenue is growing well and income exceeded JPY 10 billion. ESG topic, please take a look when you have time. And we were ordered by U.K. And revenue or midterm targets, financial targets that Miyakawa-san mentioned earlier today, revenue operating income, net income, we were able to achieve the target. Net average ratio, 2.45x, improved from 2.4x. And revenue on midterm targets, business targets, unfortunately, consumer, we were not able to achieve the target, but smartphone were doing well. 
 Enterprise, CAGR of segment income was 17% and Yahoo! withdrew our targets, unfortunately, and other Yahoo! LINE changed its plan. Improvement in PayPay to loss was also seen. For shareholder returns, which again Miyakawa-san mentioned earlier today, 85% or JPY 1.2 trillion, return of that JPY 91 billion was retirement of treasury stock. And we established acquisition amount of share buyback up to JPY 100 billion. That was the business performance. Last but not the least, midterm management plan. We pursue record high in fiscal year '25 because we have consolidated many smaller companies with less than 50% equity stock. We believe that net income was the most important indicator. We make sure that we collaborate within group companies and also business collaboration will be enhanced further to hit record high net income in FY '25. 
 Of course, we need to grow business itself. And we want to hit JPY 970 billion of operating income. And as financial targets, those are the numbers, like Miyakawa-san explained earlier, target for FY '25 and forecast of FY '23 are shown here. Revenue, JPY 6 trillion FY '23. Operating income, JPY 780 billion. Net income, JPY 420 billion. We will make sure that we will achieve them for -- and among those CapEx as we provided guidance, JPY 330 billion level, we would like to maintain. As for free cash flow, JPY 600 billion, give or take. And we are not able to pay out with the remeasurement gain. So we adjusted free cash flow. And so fiscal year '22 shows a little bit above JPY 600 billion, but we should be able to maintain around JPY 600 billion level. And as for the growth investment and where to invest in, and we would like to have more alternatives in terms of business operation. 
 As for mobile service revenue, FY '23 for bottoming out and turnaround ours, we would like to turn around as early as possible. Operating income, FY '22, we pursue for bottoming out and turnaround. The customer acquisition is doing well. So we would like to continue to bottom out and turn around. And we surpassed 30 million cumulative smartphone subscribers. We would like to continue to increase net adds by 1 million every year. And enterprise, we would like to pursue for double-digit growth in Business Solutions and distribution, operating income of JPY 30 billion in fiscal year '25, Yahoo! Japan and LINE, we are working on streamlining operations and regrowth in media, searching and commerce. And we have to work on both defense and offense. 
 First, we have to focus on defense where we can do by ourselves, and we should be more aggressive. But first, we focus on defense side. As for financial, we would like to pursue profitability by fiscal year 2025. Here's the forecast, including the dividend of JPY 86, we would like to pursue achieving these targets. So as for operating income forecast by segment, as you may want to ask questions around this, we would like to strive to achieve our growth. And Yahoo! Japan Line and consumer enterprise distribution, we will -- sorry, enterprise distribution Yahoo! Japan and LINE, we would like to target double-digit growth and financial business regarding PayPay operating loss. So actual figure should be positive and all the segments should be contributing to the business in positive way. So as for shareholder return, since our listing, we have not changed our policy. As for dividend per share, we fully understand your expectations. So we would like to achieve our target as we committed. 
 Thank you so much, and we would like to take questions. Thank you for your attention. 
Operator: [Operator Instructions] First, Masuno-san from Nomura Securities, please. 
Daisaku Masuno: Just 1 slide. Page 45, operating income. In terms of the consumer, post reduction or decrease was smaller and acquisition was going well. Cost reduction, JPY 50 billion. And also, we wanted to reduce outsourcing. So I thought that you could have more gain. And Yahoo! Line does not include PayPay. If PPA included, Yahoo! Line's income would be about JPY 160 billion. And the [ JPY 25.2 billion ] minus other is that the buffer like you made last year for consumer? 
Kazuhiko Fujihara: Thank you for your question. We remain the same in terms of our stance. We expect about JPY 50 billion of service price reduction and cost reduction remains the same, should offset service price reduction impact. For acquisition cost, you may think that we paid a lot, but we are looking at the good performance of acquisition. So we are ready for a good trend of customer acquisition. In Yahoo! Line, the number was after reduction of PPA, about JPY 22 billion is on Yahoo! side. And PayPay is on finance side. So that's the distinction between Yahoo! and PayPay. And JPY 25 billion negative in finance was that buffer that you -- like you did last year. But segment-wise, you expected growth. So what's the reason behind [ JPY 25.2 billion ], which is a big number related to subsidiaries and we are rather conservative in terms of those numbers, whether it's a buffer or not, we will see how our business goes. So you may take it as our conservative stuff. 
Operator: Next, Ando-san from Daiwa [ Shoken ] Securities. 
Yoshio Ando: This is Ando. Can you hear me? 
Kazuhiko Fujihara: Yes. 
Yoshio Ando: I have 2 questions. One is about Consumer segment, especially ARPU, inverted ARPU. When you look at quarterly basis, not this fiscal year, but next year, if so, then when would be around in next year. So what would be the timing for ARPU improvement? And next is about the impact of the freight acquisition cost. And would you please clarify on that? 
Kazuhiko Fujihara: Regarding ARPU, right now of the annual average, JPY 220. So it will be around JPY 50. So, so far, it was around JPY 40 the monthly improvement. So Shimba also mentioned earlier, from the second half of this year, we will have -- we'll be in a better position. So towards fiscal year 2025, so this fiscal year, we would like to try and different tactics about acquisition cost has been deferred. So there is an impact of JPY 40 billion, among which is -- the JPY 30 billion from the past. So JPY 20 billion or more will be halved. So the impact from the past will be smaller moving forward. 
Yoshio Ando: And the second question, and CEO, Miyakawa's explanation. And the financial segment, profitability will be realized in the fiscal year 2025. Is it the same timing of PayPay financial segment fiscal year 2025? 
Kazuhiko Fujihara: Yes, that's what we explained. And I also explained in my materials, yes, 2025, this is what we commit. But this is a growing trend. And in terms of NISA and the other opportunities. So PayPay has more and more opportunities. So we -- fiscal year 2025 is what we commit. So because PayPay is also looking at listing in the future, so we cannot mention the specific figure. However, yes, financial statement is -- plays a very important role. 
Operator: Next, Kikuchi-san from SMBC Nikko Securities. 
Satoru Kikuchi: Two questions. First, just a simple confirmation. Share buyback, JPY 100 billion and JPY 91 billion. What's the difference? 
Kazuhiko Fujihara: Share buyback is JPY 91.7 billion or it's a retirement of your own stock. Depending on share price, ceiling is different, but JPY 91.7 billion could be possible excluding the JPY 91.7 billion. It's not JPY 100 billion, but JPY 91 billion was the share buyback. I think it depends on how market goes. But we want to definitely do JPY 91.7 billion. 
Satoru Kikuchi: Next question is about the cut cost. In the third quarter and fourth quarter of last fiscal year, you made some operating expenses. Does that continue this year? Because you mentioned that you want to do cost acquisition as much as you did last year. Are you talking about some to be capitalized or not? 
Kazuhiko Fujihara: I think all in all, same level of acquisition costs, we are expecting this fiscal year. For this fiscal year last half, acquisition costs were spent a lot for especially iPhone new models. But depending on how [indiscernible] process go, we will manage acquisition costs accordingly. But same promotion as last year still allow us to keep the same level. In the last year's third quarter and fourth quarter, several billions impact were there. But this fiscal year, there won't be such impact or you still pay such acquisition costs this year. So acquisition cost, I think, more hit on the PL than before. I don't think so. We want to figure out what's the best. If we had a similar situation as last year for the last half, especially, we still wanted to be able to manage. We have not finalized all initiative for our customer acquisition for the whole year yet. Related to that point, you are looking at the great performance of acquisition. You had more initiatives in the last half than first half. And net gain, however, net adds were not increased a lot. So your acquisition initiatives were not effective. You are spending that's why you were able to acquire customers. 
Satoru Kikuchi: So I think you are in a negative cycle. Not only SoftBank, but also I think other carriers may be in the same situation because churn is going up even though acquisition is going up. So everybody in the industry said that you are enjoying good momentum in terms of customer acquisition, but you're still losing customers. 
Kazuhiko Fujihara: Well, in terms of NFP, I think we are in a good position. Churn at some time was really bad. But all in all, I think things are getting better. There are a lot of growth companies that provide services through the smartphones, which is significant from our strategy prospect. I think that PayPay and Yahoo! Shopping, SoftBank customers or SoftBank smartphone users drive their performance. So I think increasing number of smartphone users is very important in order to build a stronger foundation for business in the group. So again, we need to show that more smartphone users is better for us. 
Operator: Next, Tsuruo-san from Citigroup Securities. 
Mitsunobu Tsuruo: Have I un-muted? First point is about GPT. You structured a team for GPT and investment around that. Specifically, what we are planning -- what you are planning to do? And what's the scalability of this investment? And I would like to have a clear picture around that and so ChatGPT and you are also a partner of Microsoft. And as the entire strategy Google search engine and asset group what would be your choice to pursue? 
Kazuhiko Fujihara: So this is actually not fixed. And as you know, around ChatGPT and Miyakawa also said that most of his time has been taken by discussion around debt. So this is, however, what we must to work on. And as you said, Microsoft, we are very close. So there are a number of options, and we are exploring more options. And we are always open to technologies. And so in the course of decision-making or its technology to be utilized. And this is a very important momentum. So we have very limited information that I can share with you, but we have a very strong intention to pursue this area. 
Mitsunobu Tsuruo: The second question is about allocation of -- the first about share buyback. The figure has been adjusted, but this is what you are going to do. And the -- so if you are to maintain the dividend right now, it's going to be consumed over 3 years. So a dividend will be the same as what you have planned. 
Kazuhiko Fujihara: Yes. After the fiscal year, next fiscal year, we cannot mention. But looking at net income, you may think that this is a bit tight. We managed to share, but so share buyback, as you asked, and you may also ask whether we are going to do more growth investment or not. So we would like to also have options where we can actually generate more profit. So this is what -- based on that intention, we share the figure. 
Mitsunobu Tsuruo: So about CapEx, JPY 330 billion level to be maintained. But what is your investment plan for options, 5G spectrum allocation until the end of the fiscal year? 
Kazuhiko Fujihara: So you may ask that why free cash flow remains at this level and the growth investment, we would like to do JPY 30 billion to JPY 50 billion yearly. So if we see more profit and then generate more cash flow, and we have more space to do growth investment. So like M&A or where we have to be more aggressive and like we did in the past with Yahoo Japan and PayPay. And in order for us to do such things, we have to have a solid base. So that's why this is the base we want to have. And based on that, we would like to have a solid business operation. 
Operator: [ Okamura-san from Okasan Securities ], please. 
Unknown Analyst: First question is about financial business and your capital relationship with those financial businesses. There was a certain movement about the securities business. Going forward, are you going to consolidate financial businesses more? You are still in the process of restructuring or consolidating financial businesses. And what's the timeline? Because you mentioned that you wanted to make a financial business possibly profitable in FY '25. 
Kazuhiko Fujihara: For financial business, as you know, PayPay plays a key role. And PayPay's momentum and customer base and position need to be leveraged even further. We don't know whether we can have a capital relationship with partners. It's not factored in our plan. But for the collaboration with PayPay is something that is desirable, and that's the intention for our business operations. 
Unknown Analyst: And second question is about consumer mobile revenue and midterm plan. You pursue profit after bottom out this fiscal year. How are you going to achieve with the plan under the competitive environment? What kind of initiatives you are going to implement? And what kind of customer that you want to get as many as we move in the next 3 years? 
Kazuhiko Fujihara: Currently, why mobile is the most attractive in terms of customer acquisition. So Mobile remains a driving force. So we believe we will utilize our mobile brand for customer acquisition, mainly. In the meantime, traffic is going up. And we want to make SoftBank brand more attractive so that we can recommend inexpensive brand customers to high-end brands like SoftBank. On top of that, not only the number of customers, but also ARPU. We want to grow both so that we have a better position. I think we are in a good shape in terms of our competitiveness. And 1 million new customers is conservative. So minimum 1 million in the next 3 years, that's a number of customer acquisition. 
Operator: Next, Moriyuki-san from SBI [ Shoken ] Securities. Moriyuki-san from SBI [ Shoken ] Securities, please unmute and ask your question. Moriyuki-san from SBI [ Shoken ] Securities, we cannot hear you. Would you speak up? We are very sorry that we cannot hear you. So we would like to move on to the next question. If you have a question, please raise a hand button. Any questions? If you wish to ask a question, please press raise your hand button. Any questions? 
 So we would like to close accepting the questions at this moment. We would like to conclude SoftBank Corporation's Investor Briefing of earnings results for the fiscal year ended March 31, 2023. Please refer to our website for today's presentation, which will be available on demand on our website later today. Thank you very much for taking time out of your busy schedule today to participate in SoftBank Operation's investor briefing for earnings results for the fiscal year ended March 31, 2023. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]